Operator: Good morning, ladies and gentlemen. Welcome to the Q1 2022 Results Conference Call presented by Urs Schaeppi, Eugen Stermetz, and Louis Schmid. Louis, the floor is yours.
Louis Schmid: Thank you and also good morning from my side. My name is, as said, Louis Schmid, Head of Investor Relations and with me are our CEO, Urs Schaeppi; and Eugen Stermetz, our Chief Financial Officer. As usual, our CEO kicks off, worth mentioning that it is Urs Schaeppi’s 36th results presentation and also his last Swisscom CEO before Christoph Aeschlimann is taking over from June. The CEO part consists of two chapters; chapter one, a quick overview with some highlights on our Q1 achievements, operational and financial performance, and the short update on the macro economic situation; chapter two, an update on our network activities, B2C and B2B operations and financial results in Switzerland and on Fastweb’s initiatives and Q1 results operationally and financially. In the second part of the presentation Eugen runs you through chapter three, the Q1 financials including confirming our guidance for the full year ’22.  With that, I would like to hand over to our CEO to start his part. Urs?
Urs Schaeppi: Yeah, good morning, ladies and gentlemen, and I would like to start with some highlights. So overall, we have a very strong or strong Q1 and a lot of good things happened. So if you look to our financial results, so we have strong financial results, we have an increasing EBITDA margin, and also Switzerland was above previous year, not only faster. So, strong financial result is the first point. Then, also in the market, we were successful. We had a good performance on B2C. We have growing solution bases in the B2B market. We announced a new portfolio or a new offering of climate-neutral subscriptions. We were the first provider with Co2 neutral subscriptions. We won several mobile tests, CHIP as an example, with the best 5G network. We were able to close or extend the access deal, the wholesale deal with UPC Sunrise and we are continuing to invest in our fiber networks. Still open is the investigation with COMCO. We are in deep discussion with them and I will come late to it. So overall, we are on track and also on track to achieve our guidance for 2022.  If you go to slide five, then you'll see our market performance. So a very simple set -- in Switzerland we have a stable net adds on wireline -- in the wireline business approximately stable and growing net adds in mobile, postpaid, and also on wholesale. So overall, in a tough market, a good market momentum and you will see later that also on the churn side, we have strong figures, so even declining figures on churn. For software, on the right side of the chart, you see that -- you see our value strategy, actually, so we have slightly negative net adds on broadband but this is the result of our value strategy. But overall, the fixed subscription went up, if you take wholesale and broadband, our retail, overall, we have plus 38,000 net adds, and you see the strong momentum on mobile. So our strategy is to push mobile, to stabilize the broadband business in Italy and protecting the ARPU on the broadband basis and this strategy worked out in the first quarter. So good market performance overall.  If you go to slide six, you’ll see our financial. Improved EBITDA margin, underlying on the on the right top side of the chart, you can see that we were able to increase our EBITDA by 23 million and it's important to mention that 14 is coming out of Switzerland and six from Fastweb. The overall net revenue is slightly down because of some smaller impact, Eugen will comment later to it. But that net revenue -- the net income is on a comparable basis without this the special effects, exceptional of last year in Italy, where we have this FiberCop adjust -- not adjustment, the booking impacts and then the sales of Belgacom of our [indiscernible] company. In Belgacom, it had a special effect and that's why the reported net income went down but on a comparable base, it went up by 3.3%. So, overall, strong financials with a good momentum in Switzerland and a growing momentum in Italy.  On slide seven, some remarks to our macro-economic environment. You know it better than I what is happening in this world. But at the end, there are three impacts on our industry; the first one is the energy prices, second is hardware availability, and then the inflation is a general concern. But in Switzerland, it is important to mention that inflation is at approximately 2%, so still on a lower level and so the impact of inflation in 2022, we have a limited exposure, so the salaries in Switzerland is not driven by inflation, went up by 0.9% and so there is no big impact from inflation in this year. On the hardware availability, so far manageable, so we have some bottlenecks on smartphones, on routers, and also network components, but overall limited impact on 2022. A bit to save on energy costs. We have overall approximately 120 million energy costs, it’s Switzerland and Italy. And we have a limited exposure -- really limited exposure in 2022. We have a hedging strategy for these costs. And what is overall mid-term, that's an odd question, but important to know is that we have a lot of efficiency projects to save energy and this will certainly have a positive impact on the other side. If energy costs are increasing strongly in the next year, we will have also growing energy costs, that's for sure. But important, all these macroeconomic effects in 2022, they are limited.  Going to the business review on slide nine, I would like to start with our priorities for this year. So, first priority or priority -- the first one of the five priorities is market share. Defend the market share in Switzerland and expand the market share in Italy. To defend the market share in Switzerland, we have not a price-oriented strategy, we have a strategy with differentiation, you know it with multi brands, with, let's say, more value in our offer, so differentiating ourselves in the competition and this strategy is working and is unchanged also in this year. If we go to the second topic, that's the digital momentum. So, we are convinced that we can use digitalization to improve the customer experience to improve our process to save costs in our company and that's why we have a bunch of different digital initiatives to push the digitalization in Swisscom. Third point or third priority, we are committed to execute on these efficiency measures. We can relate to it. We are on track to achieve our goals. Fourth priority is to find solution with the regulator and the politics to get a good environment. And the fifth point, which is important is the transformation, to transform the organization in this more digital world. This is on the priorities.  On page 10, some remarks to our infrastructure strategy or where we are with our infrastructure projects in Switzerland. So, we are investing in our networks for the next generation networks. On fiber, we are expanding the networks. It is impressive to see what footprint you already have in these ultra-broadband networks. We have a footprint of 33% with speeds, with multiple speeds of one to 10 gigabit per second. And the second important point is to mention that we have -- 74% of the network of Swisscom has a bandwidth above 200 megabits per second. That shows that already today we have a strong ultra-broadband network, which gives us a good base to compete in this market.  On mobile, we are progressing to roll out 5G Plus. We have that means 5G Plus is the 5G network with the 3.5 frequencies, so this is the fast 5G network, so we have 64% coverage in Switzerland and it's impressive to see that the coverage with 5G overall, also with dynamic spectrum sharing, is at 99%. So we have a very strong network in Switzerland, which is also ranked as the best 5G network.  On the COMCO investigation, some remarks to where we are in the talks with COMCO. So the investigation on point to multipoint fiber rollout is still pending but we are in the intensive and positive discussion with COMCO to find an agreement. So the outcome is yet not clear and it's still difficult to predict. And in the last presentation in full year results, we made an outline, a deep dive, what kinds of scenarios could come, so that the worst case where we have to switch on a temporary base to point to point, which would reduce our footprint in 25% to 50% or the best case where we can continue to roll out points to multipoint where we would have a footprint of 60% in ’25. So that the solution at the end, it's difficult to predict but maybe it will be in the middle of these two scenarios.  It's important to mention that we are continuing to investing in the network so we have stopped the rollout on 5G -- on fiber. We do it in a way that we could, if needed, ramp up to point to point, we do the rollout in a point to multipoint technology and the costs, the sunk costs, would be very limited, because we could reduce the investments we have made. So, the message here is we are continuing to doing the rollout in the networks, but we can't market the new footprint, which we are building out. We need to first a solution with COMCO to market the new footprint. The market impact is limited so on because we have today performing network, which is more than 200 megabit footprint of 74%.  So what is the, let's say, the forecast to find the solution with COMCO, difficult to say. Decisions, we hope that we will have decisions in the next month, but probably not in Q2. Some words on this slide on the access deal with the Sunrise UPC. So we were able to renew the contract successfully renewed the access agreement with Sunrise UPC, and this will give Sunrise the possibility to get access to our broadband network in whole Switzerland. Important to mention, it is an access deal, it is not a fiber partnership, it is a wholesale deal, a contractual wholesale deal and just to say, we don't disclose further topics on this contract because it's confidential. It's only on the standard. But overall for Swisscom that's a good deal. It's attractive for Swisscom to have such an agreement.  On slide 11, some remarks to our B2C business. So, you see that the market is still promotional intensive, but maybe a bit lower than in the previous quarter, so a bit less of promotion activities in the Swiss market. You see what we are doing, so we have a new strong value propositions around the whole entertainment business, which actually has a good impact in the market and where we are successful. So we got our whole product portfolio blue, we are successful in the market. On mobile, a on our own brand, we are pushing a fixed mobile converged office, which is working good. And also our second brand, our promotion to Wingo is working well. So overall, we have a good operational momentum in Switzerland, low churn figures and also robust ARPUs. Strong performance of the B2B unit in this first quarter, I can correlate it to it.  You see on page 12, some figures to our revenue generating units and churn figures. So overall, the wireline basis is stable. That churn figures are lower. That's impressive. If you see that we have still a lot of promotion activities, so lower churn figures on broadband. And the ARPUs are staple on wireline, also a good message here on the ARPU side. In the wireline -- wireless business, so growing ARPUs in the wireline business and also the second brand, third brand at the growth, so we are now at 24%. The churn figures are also lower and on a low level, you see a fixed mobile conversion churn levels at 10.7%, strong figures on the churn side. And also on the ARPU side, you see that we have approximately stable ARPUs on mobile.  On the right side of the chart, some remarks to our fixed mobile converged penetration. Here important to say we are in the region of 45% to 40%. That is slightly declining, it has some reasons on how we report these figures. So, with the growing second and third party share in our portfolio, so there is a bit less -- they are more, let's say single play-oriented customers, so that's why there is a slight decline and they're in this area only in one offers -- only converged in line offers are calculated. So that means, if we would look only to our own brand, the fixed mobile converged penetration would be much higher. So, that's a bit the message of this chart on the right side.  On page 13, some remarks to our new product portfolio in the B2C market. So, in the next days, we will announced a new product portfolio, which is more for the digital native customers, which, let's say under disclosed in a better, easier, more attractive, will be launched. And that's important to know it's an offer, which is a bit, let's say, summarize that more for the sales. So it's not a price initiative, it's more a value driven approach. And we already -- always made in the past moves development on our products portfolio B2C. As an example, in 2006, we launched our Swisscom TV offer that was a big wave. Now, we are on a market share of 30%. In 2012, we launched the new offer infinity, which was one of the first flat rate products with a speed differentiation in the mobile market, a very successful product. In 2017, we launched our converged in one offer, which was the most successful ever launch product in Switzerland. In 2020, we improved or extended our entertainment proposition which is very successful, the blue entertainment proposition and now in ’22, we are coming with this more digitalized approach for a market which is turning more and more in the digital direction. So I don't want to give more details on it but just a small input that we will launch a value-oriented product portfolio in the next days. This will happen, that's important to note, no impact on our guidance in ’22.  If you go on slide 14 some remarks of the B2B business. So overall, stable or boost revenue generating units in the telco business, B2B, but still ARPU pressure on the telecommunication business and the very nice development solution business where we can show growth. So you see that our solution business went up by 8.8% for growing and on the telecommunication side wireless ARPU, you see that we are now on an ARPU of 29 Swiss franc. So this shows that the pressure we still have in the telecommunication business, but we are able to defend our market shares in telecommunication business.  On page 15, operational excellence, so we are on track to deliver what we announced. So we save telecom-related costs in the first quarter of 22 million. We forecast something in the reach of 100 million, so we are on a good way to achieve it. It's important to know that [indiscernible] will have exactly the same figure, it's a bit volatility in it because of the different measures which will be executed not quarter by quarter in the same way. So, overall, we're on track on operational excellence.  To the financial results on Switzerland on page 16, so you see that the service revenue went down by minus 25 million, so we have less erosion on our service revenue, and we have a good performance there from the B2C business. In the B2C business, the service revenue went down by 4 million so you see that we were approximately stable in the B2B -- B2C business, and the major reduction of the service revenue is coming out of the B2B business because of this ARPU pressure but strongly below the last year the run rate on the service revenue, Eugen will come later to it. You see also that the solution business went up by -- or the IT business went up by 24 million. This leads to an overall increase of the EBITDA in Switzerland by 14 million, which is a good and strong result and you'll see also that operating free cash flow proxy is above previous year, 23 million above previous year’s.  Some remarks on page 17 on Fastweb, so successful execution of our strategic priorities. So, in consumers, we have no fixed price war, so we are able to preserve the value on our broadband basis. And we are successful in the counter-attack on mobiles and wholesale. So, you see there are different figures of Fastweb. So good momentum on the revenue generating unit base of Fastweb. So, mobile went up by 170,000 -- went up 177,000 and the whole fixed revenue generating units that means retail and wholesale went up by 38,000 subscriptions. On broadband, we are able to reach an ultra-broadband customer base of 3.2 million, plus 9%. This shows also our value-oriented approach in the go-to-market in Italy. Enterprises is performing strong, so order intake is good, strong order intake and we were also able to win a lot of nice tenders, as an example, in the cyber security environment. On sustainability, Fastweb is strong positioned and that you have also ambitious goals to be carbon neutral in 2025.  So, overall, good performance in Italy; on page 18, you see a bit more details on it. You see revenue generating units, you see also the strong growing mobile business, you see that we were able to reduce our churn which is a strong results in this very competitive Italian market. And on the right side of this chart 18, you see that fixed mobile converged penetration has a positive impact on the ARPU, but also on the churn. So it shows that this strategy is working well and the penetration is increasing by 4 percentage points on a year-on-year basis.  Page 19, some additional remarks to wholesale and enterprise, so we have a growing business there, and the growth is confirmed. So the enterprise revenue went up by 4% and also revenues went up by 9%. And even if you take the core business of wholesale, you see that the growth was even bigger. So we have a good momentum on wholesale. On page 20, the financial results of Fastweb, so the EBITDA went up by 3.3% -- 3.4% and we are on track to achieve our guidance by -- up to 4%, [Phonetic] 5% on the EBITDA guidance. Growing revenue, you see where it is coming from on the right -- on the left side of the chart. In the middle, you see the EBITDA development and the operating free cash flow. So, overall, we are on track to deliver our guidance of Fastweb.  Now, I would like to hand over to Eugen for the financial side. Eugen?
Eugen Stermetz: Thank you, Urs, and good morning, everybody also from my side. I'm happy to walk you through the numbers, in particular, since its, as Urs mentioned, quite a solid set of results for the first quarter of this year. I’ll start on page 22 with group revenue, group revenue was down by 35 million overall, but net of currency effect, group revenue was essentially flat with minus 1 million, Fastweb is plus 15 million or 2.4%, and Swisscom Switzerland, basically flat with minus 10 million.  Let's take a quick look at the individual segments, B2C revenue, overall minus 7 million, very positive element in there, Urs mentioned it already, service revenue decline was minus 4 million, will get to that in a second. Hardware sales were down a bit, minus 15 million, mostly driven by hardware, availability issues, and also somewhat softer promotional activities in the market, both by our competitors and by ourselves. Obviously, this has little to no margin impact and other revenues in the B2C segment were up. No worries, this has nothing or very little to do with IFRS 15, as in the past, but in this quarter, it has to do with increased revenues from our cinema division, which was basically closed down last year due to the COVID restrictions and now it's back in business.  On B2B, revenue increase of 20 million year-over-year, which is very positive. Two quite different components behind it; on the one hand, service revenue decline, more or less in line with the most recent quarters with minus 21 million. And on the other hand, which is very nice and positive, solid growth from the solutions business with plus 24 million, 14 million of which was organic. So even on a comparative basis, very nice growth in that segment, obviously with a somewhat different margin profile than the telecom business and also contrary to the B2C business, in B2B, hardware sales were up. This is mostly related to one or two very large projects that we are running for our customers with it hardware sharing in them.  Then on wholesale, minus 25 million. There is the expected structural effect in there from the tail end of the close of the MVNO agreement with Sunrise that you all -- or with UPC rather than you already know about and then there is a more volatile element in there. We had lower inbound roaming revenues, minus 14 million, but there is a balancing component to that in our payment expenses, so there is very little EBITDA impact out of this and as I tend to explain from time to time, this roaming effect tend to level out over time anyway because this is the way the contracts are structured.  Then, finally, on revenue of Fastweb, up 15 million, very solid result, again, from the enterprise division with plus 10 million. Also positive effects from the wholesale segments, in particular, due to an increased number of UBB lines that we sell to our competitors. Urs already alluded to the positive balance we get out of -- on the one hand, a difficult time on the retail side in consumer wirelines, and at the same time, very positive impact on the wholesale side since we are providing the lines with some of the competitors that are taking market share. Growth in Fastweb was plus 2.4%, Urs mentioned it already. As you know, this is somewhat shorter for our full year target, but we're still confident that we will reach the full year guidance.  On to page 23, revenue evolution in the Swiss business. I'll start on the left hand with the bridge year-over-year and its individual components, service revenue minus 25 with the bulk coming from the B2B division, B2C basically flat. Solutions business growing and nicely compensating the loss in the B2B business, plus 24 million. Hardware, all in all flat but with different dynamics behind from B2C and B2B, as I explained. B2C down due to hardware availability issues. B2B up due to some large projects, all in all, very little impact and obviously, very little bottom line impact. Wholesale revenue is down, minus 25 million for the reasons I explained and other revenues up also for the reasons I explained, in particular, the cinema business, which gives you the minus 10 million year-over-year, all in all on the Swiss side.  Top right, service revenue evolution over the quarters. With minus 25 million, we have certainly a rather small service revenue decline in this quarter, which is obviously very positive, very much driven by B2C with minus 4 [Phonetic] million only. So if you look at the bottom right, you see the individual effects within the B2C and B2B, wireline, wireless, and which part of it is RGU driven and which part of it is ARPU drive. So, if we take a look at viral B2C first, it is plus 1 million, given there is more increase compared to last year. On the RGU side, you'll see the usual effects of voice line losses, there is not more to it than that; and on the ARPU side, you can see that we even have a positive effect on revenues out of ARPU development in B2C wirelines, which is a result of the lower promotional activities in the market in the first quarter and also a result of some successful upselling of content packages that was already mentioned previously.  On the wireless side, the usual picture of a positive impact out of added RGUs or added subscribers in our second and third brands on the one hand, and on the other hand balancing the brand shift effect, which is basically an ARPU dilution due to the fact that second and third brands have lower ARPUs than the products on the COMCO brands. Apart from the branch shift effect in the ARPU, there is little more this quarter actually, so there is a very small effect on fixed mobile convergence; Urs talked about it before. This was much bigger in the past and there is also basically knowing no impact year-over-year from promotional activity, so very small one. So it's really the balance of added customers on second and third brands and dilutive effect on ARPU of the same effect that you see here in the picture and B2B bottom right, it's basically business as usual, comparable to the previous quarters.  Now all in all, this obviously shows that there is certainly some upside to what we provided as a full year guidance of minus 200 million for service revenue in Switzerland, but it's still early days, we are in the first quarter, we don't know how the competitive environment will evolve over the rest of the year. So we remain a bit cautious here and as you will see, we will confirm our overall EBITDA guidance for the year.  Now with that on to EBITDA page 24, EBITDA for the group was up by 13 million net of currency effects plus 23, with 6 million or 3.4% plus coming out of Fastweb, which is in line with the revenue growth. Swisscom Switzerland also up by 14 million, which is obviously something that we're quite happy about. Let me quickly run through the individual segments, B2C up by 17 million on the back of, as we explained, almost favorable service revenues increased other revenues and there was also a reduction in subscriber. Acquisition costs, which is due to a bit lower competitive intensity on the one hand, but also on the other hand, some hardware issues, which are not. As Urs explained about hardware availability, as you certainly also hear from others, it's not what it used to be. Another component in the B2C performance is the improvement in the indirect cost base, which we obviously track very closely.  B2B, minus 7 million, is the other way round, despite an increase in revenue and minus in the EBITDA. Explanation is simply, the revenue that drops out, service revenues, high margin compensating revenue that comes in from IT services is much lower margins and so we have a net negative effect of minus 7 million. In the wholesale segment, minus 8 million that's basically the EBITDA impacts of the UPC B&O loads, as I explained before. The whole roaming effects has no meaningful impact on the EBITDA. In the infrastructure and support function segment, it is up by 12 million, which basically means that costs are down by their demand, so we have lower personnel expense compared to the same quarter in the last year.  On to EBITDA in Switzerland on page 25 by P&L line items, so, overall, it’s topped, plus 14 million. I'm not talking about revenue anymore with minus 10. Subscriber acquisition costs a bit lower, so positive effect of 10 million but a bit of a mixed bag, as I explained. Outpayments lower by 14 million, that's the compensating number to the to the inbound roaming revenue figure, so no bottom line impact and cost of goods and services purchased 11 million higher, that's mainly due to the higher hardware revenue on the B2B side. More importantly, on indirect costs, we're well on track to full year target of plus 100 million out of the telco costs, as we explained already last time, separating out the cost base of the solution business and of the telco business because, obviously, it makes no sense to set out an absolute cost target on a growing solution business, that would not be sensible. So there is a minus 11 million, so higher costs in the solution business but reduce costs in the telco business, in line with our full year targets. I add my usual word of caution, and Urs has already said it as well, these numbers do not come in a linear fashion quarter-over-quarter, so expect a bit of a bumpy ride over the year but what counts in the end is the full year number and we are very positive, we will hit our target here and we have a very good track record in hitting the full year target and the positive for this year as well.  Page 26, CapEx, not too much to report on this one. Overall group CapEx 522 million, slightly down compared to previous year in Switzerland, and in Fastweb, this is more due to the currency effect and local currency CapEx in Fastweb was slightly up due to the wireless rollout that we're talking about plus 1.9% here in the quarterly number, so nothing material. There was a bit of a shift in the composition of CapEx on the Swiss side that we see on the right hand side. So we had lower CapEx for the fiber rollout. This has nothing to do with the whole COMCO situation. Urs explained before that we continue to build out -- we continue the fiber rollout in point to multipoint architecture, so the drop compared to last year comes from the fact that the FTTS rollout is now reaching its tail end, so our overall fiber CapEx in principle comes down due to the end of the overlap of FTTS and FTTH. On the other hand, the channel infrastructure spend, bottom right, 113 million went up by more than 20% compared to last year. This is due to two effects; one being that we are building a new backbone in Switzerland and the other one that a lot of new homes are being built in Switzerland and we connect them to our network and so we have some construction work going on to achieve that.  Page 27, free cash flow, not too much to report. If we started operating free cash flow proxy, about 34 million, that's simply the combination of our overachievement on the EBITDA side compared to last year and somewhat lower CapEx that I explained. The only number to explain on this page is the net working capital impact of minus 264 million; it has two components, one that will stick with us for the rest of the year and the other one that in the end will balance out. The first one that will stick with us is due to a settlement payment that we pay this year, which is related to a regulatory dispute that we set up last year, it was already provisioned for last year, so there was no EBITDA last year, there is no EBITDA impact this year, but the payment is out and this will stay for the remainder of the year. The rest of this position is simply due to pre-payments that we made, pretty significant pre-payments that we made in the first quarter of this year for services that will be provided over the full year such as licenses, maintenance, payments, etc. So basically, it's typically for net working capital, balance out over time.  Page 28, net income bridge, very good net income figure with 447 million net income. The only thing of note, Urs already mentioned it, is the comparison to last year. We are 191 million below last year but this has nothing to do with the performance this year. It has all to do with the fact that in Q1 2021 we have extraordinary effects out of FiberCop transaction and the sale of BICS, so if you strip out these two effects, net income actually is growing as you would expect, given the growing operating numbers.  Just one word on page 29, as your note we might find ourselves at a sea change in the macroeconomic environment with the potential for sustained increases in interest rates, which I would like to draw your attention to the fact that we are very well prepared for such a scenario with 88% of our debt portfolio being in fixed interest rates and the very long maturity of our debt portfolio. So any sustained increase in interest rates would take a very long time to work itself into our P&L.  Finally and shortly on page 30 on guidance, we confirm our guidance for the full year, 11.1 billion to 11.2 billion revenue, 4.4 billion EBITDA, 2.3 billion CapEx, 22 Swiss francs per share of dividends. As I said, suddenly a bit of an upside on the Swiss service revenue side but on the other hand, a bit of uncertainty in terms from geopolitical situation and also in Italy on the full impact of the Iliad entry and of energy costs, etc. So we remain on the cautious side. It's early days, it's just the first quarter, and we confirm our guidance.  With the, I hand back to the operator.
Operator: Thank you, Eugen. [Operator Instructions] We have a first question coming from Ulrich Rathe from Jefferies.
Ulrich Rathe: Thanks very much. I'd like two questions, please. One is just a clarification. Maybe the clarification first. The MFT benefit, the organic benefit, you said this quite explicitly for revenues but you didn't for EBITDA. Could you just give us some indication what the inorganic benefit of the acquisition is in the first quarter and then more substantially, the service revenues in B2C, you highlighted it several times went rather well in the first quarter. But as I look at the comparables throughout 2021, they seem to be getting tougher from the second quarter onwards. So I was just wondering how you see that unfolding through the year. You mentioned service revenue upside to the initial guidance of 200 million down. On that, I wanted to ask, do you think there is a possibility that this would ultimately be offset by higher costs, whatever upside, there might be to the 200 million? Or do you think, if really sales revenues do go better that would drop through to EBITDA? Thank you.
Eugen Stermetz: Maybe on the first one, so the EBITDA impact in the first quarter is a small single digit number, so that's why we didn't separate it out as a separate EBITDA that we have on the slides. On the second question, no, we don't expect an upside from service revenue to be automatically be balanced somewhat by higher costs, these items are quite separate. So if there is an upside from service revenue, there is an upside but, as you mentioned that, as we saw last year, the evolution over the full year can be quite different than what you see in the first quarter and it entirely depends on the competitive situation in Q2 to Q4. As you saw, we are in the process of launching a new portfolio. Our competitors might do so as well, so we need to see how this plays out, so that's why we may be remain on the cautious side.
Urs Schaeppi: But maybe one additional mark to this new product portfolio, it's not a price move, what you're doing, it's more a value-oriented approach. Just to give you some guidance that we don't want to heat up the market.
Eugen Stermetz: And I made one more one more word on the cost side. Although there is no relation to the service revenue, obviously, there is one item that this year is particularly volatile, and you hear this from everybody, I'm sure, and this is energy expense. We suddenly have a very low exposure to that figure this year, but it's still existence, so this might be a bit of a uncertain item, in particular on the tail side for the rest of the year. 
Ulrich Rathe: Thank you very much.
Operator: Next question, Polo Tang from UBS London.
Polo Tang: Yeah, hi. Firstly, I just want to say Urs best wishes for your retirement. Separately, I've got two questions. The first one is really, can you talk about what you're seeing with competitive dynamics in the Swiss market because for Q1, your Swiss net adds were relatively soft, so can you maybe just talk about what you're seeing from some of the competitors, where you more focused on value rather than volume? And then how do you think about the volume side through the rest of the year? I mean, last year, you saw some growth, do you think you can do that again or do you expect a stable or maybe even declining trend to talk about competitive dynamics?  Second question is really just about IT solutions. I know you saw very strong growth in the quarter, plus 8.8%. I think it was clear that there was some M&A benefit underlying, you still saw good growth. So how should we think about IT solutions over the coming quarters and how much visibility do you have on the future pipeline? Thanks.
Urs Schaeppi: Polo, to the competitive dynamic in Switzerland, what we see is a bit less promotion aggressivity on the value brands. Let's say, on the low end brand, second and third brands, there is still, I would say, it's a bit unchanged. So it's a question -- the main question will be how competitive or how price aggressive Sunrise UPC will act in the future and that's hard to judge. If I look how they behaved in the last month, they had a rather irrational approach.  From our side, our strategy is working well, we have our second and third brands to be active in the price sensitive market and on the Swisscom brand, we have a value strategy where we are able to defend our business and our ARPUs. And the main the main strategy of us is to bring more value in our products portfolios of Swisscom -- on the Swisscom brand. So this we will do with the launch of the new product portfolio I announced before. We are investing also in our entertainment proposition blue, where we give much more value and, let's say, not only value but value to our customers to differentiate us in the competition. So, overall, I would say the competitive dynamic stay a bit like it was, maybe with some hope that that promotion aggressivity will calm a bit down but that's a bit too early to say, we have to look to it.  On the solution business, yeah, the good momentum, not only by M&A, so this MTF acquisition, we talked before is one part of it, but we have organic growth in the solution business. And this organic growth is coming out mainly from Cloud and security and this will continue. So we are optimistic that we can continue to grow in our solution business. 
Polo Tang: Thanks.
Operator: Next question, Joshua Mills, BNP Paribas.
Joshua Mills: Hi, guys, thanks for the questions. I suppose there's a couple for me. The first is, you are very clear on the call but there's not that much visibility around the topline discussions, but can you maybe just give us some insight into what the sticking points are? Is it more around the logistical elements of the network rollout or their financial terms? And I think the full year results, you gave some comments around the potential swing in what 2023 CapEx could look like depending on at best or worst case outcome. So could us give us an update on how your thoughts are there, I guess, base case for now would be that the CapEx is was pretty much stable year-on-year in 2023. And then the second question would just be on Italy, so [indiscernible] has already indicated that they will be entering the B2B landscape later this year. I think they have been advertising for some roles in that market as well. So perhaps if you could give us some comments on how the enterprise segment is developing in the Italian market, given that it's one that you've been growing in recently? Thank you.
Urs Schaeppi: Well, I will take the question on Italy and Eugen on network and CapEx.
Eugen Stermetz: Yes. As you pointed out in the full year results presentation we gave the best case and worst case scenario and walked you through the impacts also on our fiber CapEx envelope, where we said that in the worst case, our CapEx envelope -- fiber CapEx envelope in Switzerland in the years to come would be slightly up compared to this year and last year, so compared to the status quo, if you like, and in the best case, it will even be slightly down. As Urs pointed out, from today's point of view, the final solution that we hope to find will be somewhere in between these two scenarios. So, yes, I can confirm if we end up between those two scenarios if you talk about the cyber CapEx envelope that is quite similar to this year, but it could be slightly up or slightly down depending on where the compromise with COMCO, if we eventually reach, it lands.
Urs Schaeppi: Good. Then on Italy, so our B2B business is growing very well and we are convinced that we can continue to grow even if its competition would increase. We are very strong position in this B2B market on broadband, but now also on IT solution business, we are -- we have more capabilities and are more competitive, so we are optimistic for our B2B business in Italy, even if there are some other competitive dynamics. We have a strong track record. We have a lot of capabilities there and a good reputation.
Joshua Mills: And so just maybe one follow up, I think the other metric you provided on that best and worst case scenario was coverage. So, worst case 50%, best case 60%. Is your expectation that you land in between those two figures as well under this compromised solution or is there an opportunity to maybe get towards the higher end of the 60% coverage target? Thanks.
Urs Schaeppi: You know, I think we don't know the solution yet that's why it is hard to forecast. But I think it's important for you to know it that short term is footprint is not too important for Swisscom because we are competitive in the market, also is our hybrid fiber networks. So this is more of a long-term perspective and there we have the ability then to do our rollout. The impact is neglectable on our commercial performance short term.
Operator: Let’s take the next question, Yemi Falana, Goldman Sachs.
Yemi Falana: Good morning, everyone. Thanks for taking my questions. Sorry to take it back to COMCO. But given uncertainty remains there, I think in the past, you've spoken about a time where you would cease discussions and just pursue a point to point rollout. Is that still the case or are you more confident now? And if it is still the case when would that kind of trigger point be, is it kind of the second or third quarter this year where if there's not a resolution, you'll just pursue the point to point rollout, for example? And then secondly, just on the Sunrise UPC wholesale agreement, I think you laid out in the presentation that it's across all access technologies but could you give maybe some qualitative indicators, if you can't get financial ones, around anything around kind of increased scope of the wholesale agreement and/or kind of positive-negative revisions in terms of the actual kind of unit cost or unit economics related to the wholesale arrangement? Thank you.
Urs Schaeppi: So on COMCO, we are in deep discussion with COMCO. I would like to do a forecast now when we have a solution with them because otherwise – I’m not the master of this process. But just from them from what I can say, we have we have a worst case and best case, as we explain it during the first full year results and the highest likelihood is that it will be something between but all of this will be digestible for Swisscom. So, I think the biggest impact from this COMCO, let's say, dispute we have today is that we can't market our footprint in the new fiber-to-the-home areas. But because we have a strong hybrid fiber network, we don't get, let's say, a negative impact on our commercial performance, but we are less differentiated, I would say, that may be the most important point. And that's why we are also in a deep discussion with COMCO to find a solution. But I don't know when we will have the solution. I don't want to do a forecast but I think it will be not in Q2.  Then on this access agreement, access deal, we've done that, so we don't disclose the details of this agreement. It's a commercial agreement with Sunrise UPC but what I can say is that they get the access to our broadband network. So if we are ramping up fiber-to-the-home, they will also have access to fiber-to-the-home, so that's what I can say about this. 
Yemi Falana: Thanks very much.
Operator: Next question Mandeep Singh, Redburn, London.
Mandeep Singh: Thank you. I have a couple of questions please. One is on Italy, obviously there's been some potential moves towards consolidation in the Italian market, which didn't really come to anything. But I'd be interested to hear your thoughts on how you think the Italian market will play out? Do you think consolidation is quite likely? And if consolidation was to take place, do you feel that Fastweb has a role to play in that? Thanks very much.
Urs Schaeppi: So, consolidation in Italy, is since I'm in this business is a topic, so always talks about consolidation in Italy. The interest of the depth of the players in Italy are quite different, so that's why there is not so much dynamic in consolidation. Our view to the Italian market is a pragmatic one, so we can create value also, on a standalone basis. We showed in the past that Fastweb is able to increase the value but we will have open eyes and open ears to this market. So we have a pragmatic view but we also -- we are also strong on a standalone base. So, that's a bit of what I can say. And the direct message is really the interests of the different players are quite different, so it's maybe not straightforward.
Mandeep Singh: Can I perhaps follow up?
Urs Schaeppi: Yeah, no, we are committed to Italy. So we are not that -- we are not on the way to exit Italy.
Mandeep Singh: So maybe I could just follow up, if, hypothetically, there was a transaction between either Iliad and Vodafone or Iliad and Wind and there was some kind of remedy, would Fastweb be interested in taking up that remedy and becoming a more comprehensive infrastructure base player across fixed and mobile?
Urs Schaeppi: Yeah, sure, if they would be remedies on the market, we will certainly have a look to it, that’s clear. 
Mandeep Singh: Okay, thank you.
Operator: Please, hold on, I have a little technical problem to open the next line. Thank you for waiting. Thank you for waiting. Cristini Nawar from Morgan Stanley for next question, please.
Cristini Nawar: Thank you very much for taking my questions. I have some follow up on the UPC Sunrise agreement. I know you said you cannot comment certain aspects, but hopefully we can get some color on other aspects. So first thing, when the UPC Sunrise deal was announced, the expectation was that the wholesale would lose, that both from the mobile side and the fixed sides will be declining, but perhaps with the different results. We saw the MVNO wholesale revenues coming down. Could you comment a little bit the direction of evolution of the wholesale revenues on the fixed side please?  And going from here, following this agreement, are you able to comment the direction or the trajectory of those wholesale revenues? Are we looking at growth sort of more of the same etc, if you are able to give us some color here it can be quite helpful. And related to that, this contract is a wholesale agreement, which is quite different from what you have signed with [indiscernible], which is on hold on the IU [Phonetic] side. Do you see a scope for you guys to move this agreement probably medium or long term to also a co-investment set up with IUs or others and any color on this will be helpful. Thank you very much.
Urs Schaeppi : So on actually your question is going around our fiber strategy, how we build networks in Switzerland. They will judge it like this. Our strategy to roll out fiber networks is we are open for cooperation but it worth makes sense for us. And we have plans to roll out the fiber-to-the-home footprint as we showed in the full year results. So our first target is to reach now this 60% until 2025, and we are open for cooperation. And if they do it, it must make sense for us.
Eugen Stermetz: Maybe on the first part of the question on the revenue dynamics, yes, you're right, the mobile side of the business with UPC Sunrise went out pretty quickly, as was expected, as was announced by UPC Sunrise upon the merger and as we already included in our guidance last year, and this year, and the expectation at the announcement of the deal was that on the fixed side, the erosion of the mutual business would be much more subdued. And I would say that our current -- the deal that we commented on today confirms that trend that it's -- the fixed side is much more stable and much more long term than the mobile side MVNO.
Cristini Nawar: Okay. Thank you for the color and best wishes to you, Urs, for the future.
Urs Schaeppi : Thank you.
Operator: Next question coming from Georgios Ierodiaconou from Citi. Thank you.
Georgios Ierodiaconou: Good morning and thank you for taking my questions. I had a couple around Italy. And once operational is around mobile you posted this quarter, I'm just curious as to what has driven acceleration and if there's anything going on in the B2B side or whether this is on B2C accelerating? The second question is around wholesale and obviously, next couple of years there is a lot of -- there are a lot of tailwinds to your wholesale business. But I'm curious on the discussions around the single network, what your views are about the impact that it could have in terms of the wholesale business medium term, and therefore your position on any potential combination there.  And then my several questions if we don't have a follow up of some of the ones that were asked earlier, and I appreciate those you've already made comments around the fact that the market remains relatively competitive but we've seen churn levels fall, even though probably last year, there was still some benefits to churn from partial lockdowns and stuff. And I'm just curious as to what has driven this in the market, why all of a sudden, obviously, slugging that top line, and also lower churn? I'm just curious if there's anything specific on your side that's driving this or whether it's a broader market effect. Thank you.
Urs Schaeppi: I would take the market question of Switzerland and Eugen, can you start with Italy?
Eugen Stermetz: Yeah. So I think I understood the question correctly on mobile net adds, so we believe on robust performance on mobile net adds in Italy was due to our strategy to play essentially a value game on the wireline side and be pretty aggressive on the wireless side and this seemed to pay off pretty nicely, also in competition with [indiscernible]. There is -- if I understood the second part of the question correctly, there is rather little effect from B2B wireless in there. So it's really mostly driven by B2C and the drivers I explained. On the single network, this is a very long story, all in all, we basically expect a neutral impact on the Fastweb business, we don't think it will make a lot of difference. And even if it comes, it's a long way out anyway, so we don't expect anything of this to materialize in the short term.
Urs Schaeppi: On Switzerland and lower churn figures, that's the results mostly of our strategy, so we have a very differentiated product portfolio. We are investing in our network, to our superior networks, we are investing in our product portfolio, which customers likes, customer service market their reputation brand and this is the result at the end which leads to a loyal customer base and then with our second and third brands, we are active in this, the more price sensitive segment and overall if the strategy leads to this better market performance. And then maybe there is -- I would say these are the internal factors and then may be a second, but that's more a kind of speculation. The second factor could be that the market in Switzerland, so that the really price sensitive or promotion oriented segment in Switzerland now is coming in the more saturated phase. But that's a kind of speculation we should look to it in the first month.
Georgios Ierodiaconou: Pretty clear. Best of luck, Urs. Now, that's Swisscom is no longer sponsoring the ski team, there is no conflict of interest in giving it a go, so best of luck with that.
Urs Schaeppi: Exactly. But we will do great sponsoring in music, which address also Switzerland. Thank you.
Operator: Let's take next question, Luigi Minerva, HSBC.
Luigi Minerva: Yes. Good morning. Thanks for taking my two questions. The first is on Italy and I was wondering about the negative broadband net pas, where do you think your customers are going? And if particularly you're seeing an impact from the Iliad's fixed line broadband launch? And the second question is more about capital allocation. And obviously, the dividend is a pillar of your equity story. It's super important and you continue to run a prudent balance sheet. I was wondering under what conditions do you see the dividend growing in the future and what could be the trigger? Thank you.
Urs Schaeppi: On our negative -- slightly negative net adds in Q1 in Italy, that's actually the result of what we can explain in a good way. Our strategy during this market MTL and very aggressive price moves of our competitors was a value approach. So keeping our customer on -- or let's say, don't touch the price, moving up the customer on ultra-broadband and attacking the market with attractive fixed mobile converged offers and, let's say, an offensive mobile offer. And that leads to a good performance, overall performance, of this B2C business.  The major -- your question was, where are the major customers going in Italy today, if I look to the whole market in Italy, so the best momentum today has a sky, that's clear, they have no customer up to now. They are upselling their customer base, they have the best momentum. And overall, we have a positive net adds on our broadband network, if you take B2C, and wholesale together.  The impact of Iliad on Fastweb is limited, very limited but you know it's all a bit too early to judge this whole dynamic. Then all on our dividend policy, we have a dividend policy where we are a reliable dividend payer. And at the end, it's all a question about -- of our free cash flow. And you see we have a relatively stable business, overall, relatively stable free cash flows, and then service revenues will not explode, CapEx will not explode, so at the end, I think, we feel ourselves comfortable with 22 Swiss francs.
Luigi Minerva: Thank you very much. Best wishes for your future and thanks for all the good work in the past few years.
Urs Schaeppi: Thank you to all your support. 
Luigi Minerva: Good bye. 
Louis Schmid: Bye, bye. Okay, operator, next question.
Operator: Okay, next question Andreas Müller. And then we should have a next one, can you take those or? 
Eugen Stermetz: Yeah, that's fine. 
Operator: Okay. So Andreas Müller for next.
Andreas Müller: Yes, thanks a lot for taking my questions and congratulation Urs to all the work you have done and also all the best for your future endeavors. And then my first question also on the COMCO compromise, which might be kind of has a high likelihood. Can you talk a bit, in what sense, it will be a compromise? Is that a technical compromise with this color, maybe unbundling or is it going to be more on the market segments, geographic market segments? Can you elaborate on that? And then I was wondering, in the B2B Swiss business, how much or how the service revenue decline, if there is some kind of horizon that it can stabilize also getting better, as in the B2C CEO [Phonetic] side? Thank you.
Urs Schaeppi: Unfortunately, I can't give you too much flavor on this COMCO discussion. I think, yeah, Switzerland has an interest that we find the solution in a fast way. And so I think that's the message I can give. We have an interest to find the solution. I think also whole Switzerland has an interest to find the solution and it's too early. But I think what we can -- we can give you the framework, and the framework we described in during the first year -- during the full results, which is best case, worst case, so it will be something in the middle but I can't give you more or I would like to give you more details, because I don't know them.  And on B2B, the development of the service revenue, you know the service revenue in B2B is driven by two elements. The first one is competition and this competition we feel mainly in the wireless market, where our competitors try to gain market share and this competition will remain, so we shouldn't think that pressure on mobiles will decline in the next quarter. So we'll have continuing pressure there but with a good overall strategy, we will be able to manage ARPU pressure but it will really.  And the second element, which actually gives pressure on the B2B telco business is driven by technology. So we have different technology, we have substitution, so overall, the pressure on service revenue will be there, but maybe it's going slightly down. It's too early to say that because the prices in the B2B market are already today on a very low level and if you compare our prices in the B2B market to other countries, you can see that Switzerland has low prices in the B2B market. So, space to go down is not too much, and maybe that's the positive message to this telco business in Switzerland. And we are able to defend market share, we are able to have a stable ARPU that shows also that they have a robust strategy.
Andreas Müller: Okay. Thank you very much and all the best again.
Urs Schaeppi: Yeah, thank you too, Andreas.
Operator: The last question, [indiscernible].
Unidentified Participant: Good morning, everyone. Thank you very much for taking my question. At this point, I just have a quick one. It was regarding your prepaid net adds, which on this quarter, it's the second quarter where they've been quite negative and they've been offsetting what is the positive net adds on postpaid. Could you just give us maybe a little bit more color of what's going on with the prepaid net adds, why they're declining and what sort of strategies are you trying to implement to possibly reverse this or to -- is it simply down to pricing? I'm guessing so but could you give us a little bit more color. Thank you.
Urs Schaeppi: So the prepaid business in Switzerland or for Swisscom is a very small business today. It was a big one but today it's a very small business. We have good post paid offers, we have second and third brand offers on the level of 20 Swiss francs, so the prepaid businesses is very low and our strategy is to migrate prepaid customers to postpaid. So you shouldn't look too much to prepaid business in Switzerland.
Unidentified Participant: Okay, thank you. Understood. Thank you.
Louis Schmid : Thank you [indiscernible] and thank you to everyone. Special thank you to Urs for his last results presentation and with that, I would like to conclude today's meeting. If you should have further questions, do not hesitate to contact us from the IR team. Speak to you soon. Have a great and sunny day. Bye, bye. 
Operator: Dear participant, your conference call has come to an end. Thank you for attending. Goodbye.